Operator: Ladies and gentlemen, thank you for standing by, and welcome to Adaptive Biotechnologies Third Quarter 2020 Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator instructions] I would now like to hand the conference over to your speaker today, Ms. Karina Calzadilla. Thank you. Please go ahead.
Karina Calzadilla: Thank you, Buena, and good afternoon, everyone. I would like to welcome you to Adaptive Biotechnologies third quarter 2020 earnings conference call. Earlier today, we issued a press release reporting Adaptive's financial results for the third quarter of 2020. The press release is available on adaptivebiotechnologies.com. We are conducting a live webcast of this call and will be referencing today's live presentation that has been posted to the Investors section on our corporate website. During the call, management will make projections and other forward-looking statements within the meaning of federal securities laws regarding future events and the future financial performance of the company. These statements reflect management's current perspective of the business as of today. Actual results may differ materially from today's forward-looking statements depending on a number of factors, which are set forth in our public financial statements with the SEC and in the 10-Q filed today. In addition, non-GAAP financial measures will be discussed during this call and a reconciliation from non-GAAP to GAAP metrics can be found in our earnings release. Joining the call today are Chad Robins, our CEO and Co-Founder; Julie Rubinstein, our President; and Chad Cohen, our Chief Financial Officer. In addition, Harlan Robins, Adaptive's Chief Scientific Officer and Co-Founder will be available for Q&A. With that, I will turn the call to Chad Robins. Chad?
Chad Robins: Thanks, Karina. Good afternoon everybody and thank you for joining us on our third quarter 2020 earnings call. Once again, I want to thank all of our Adaptive employees for their unwavering dedication and flexibility over the past several months. During the quarter, our financial performance was solid and we made substantial advances across all business areas. These results continue to validate the value of our immune medicine platform as a clinical product development engine. On Slide 3, let me walk you through some of the key highlights for the quarter. We reported revenues of $26.3 million, representing 25% growth versus prior quarter and 1% growth versus prior year. Related to our research business, we are working with two top tier vaccine developers to use immunoSEQ T-MAP COVID in a subset of patients from their late stage trials. This is encouraging as we strongly believe that measuring the T-cell immune response to vaccines is necessary to understand durability of the immune response. In clinical diagnostics, clonoSEQ test volumes grew sequentially 28%, and we also launched clonoSEQ for patients with CLL. For our diagnostic pipeline product, formerly known as immunoSEQ Dx, we are pleased to announce the new brand name is T-Detect, representing the power of T cells to detect disease. Today, we released top-line results showing that T-Detect outperform serology to confirm past infection, which further supports the upcoming launch of T-Detect COVID. In addition, we have also identified a clinical signal for Crohn’s disease, demonstrating a consistent cadence in our R&D pipeline. And last but not least in our drug discovery business, we are extremely encouraged that we have successfully identified two highly potent neutralizing antibodies against SARS-CoV-2, which we believe to be best-in-class. Our neutralizing antibody work is another proof point of the potential of our immune medicine platform shown here in Slide 4 to be a clinical product development engine. We have unique and proprietary capabilities to understand the genetics of the immune response to disease and translate that data into multiple opportunities across research, diagnostics and drug discovery. Remember the adaptive immune system sees most diseases in exactly the same way, including COVID. Once we characterize the immune receptor data specific to the virus, we were able to develop T-Detect COVID as a clinical diagnostic test offer immunoSEQ T-MAP COVID as a research tool for vaccine developers and identified potent neutralizing antibodies for a partner to potentially commercialize. Importantly, the infrastructure that we built in just seven months for COVID is being leveraged to accelerate similar commercial opportunities in multiple disease states. Before I pass it on to Julie, I want to share two exciting data announcements related to our COVID efforts. On Slide 5, as we announced today, we have new data further demonstrating that T-cell based testing with T-Detect outperforms antibody serology to confirm past SARS-CoV-2 infection. This data from a study performed in collaboration with the University of Padua in Italy shows that Adaptive T-Detect COVID identified 97% of PCR confirmed past infections while serology identified only 77%. This follows on the heels of publication earlier this fall showing superior sensitivity of T-Detect versus two leading serology tests in a real-world population from our immune rate study. Together with Microsoft and in parallel with other publications from around the world, we are contributing to the growing recognition of the importance of T-cells to understand the complete picture of the immune response to any disease. This is the foundational thesis for T-Detect. Now on Slide 6, I will walk you through our neutralizing antibody findings. As you know, back in April, we deployed our platform to discover fully human neutralizing antibodies to treat COVID-19. As such we use our high throughput method of screening immune cells to find the best antibody or antibodies, which neutralize the virus. We started with blood from over 300 patients and hundreds of thousands of antibodies of which we synthesize and characterize over 1,600 antibodies to various parts of the virus. We identified two candidates that neutralize live virus at 13 and 16 picomolar, which mean that a very small amount of each of these antibodies is able to block the virus from infecting cells. Also, these antibodies are synergistic and we expect a cocktail to further enhance performance. To put this into context, antibodies and antibody cocktails currently in the clinic have reported higher picomolar concentration for the same amount of neutralization. While others in the industry have made progress, improving the clinical effect of neutralizing antibodies against COVID-19, there is certainly room for improvements in efficacy and questions around manufacturing and administration of therapy at scale. Well, of course, we are excited about all the progress recently announced in the fight against COVID, we also recognized that the virus is now endemic and effective therapies are still needed. We hope that the antibodies that Adaptive discovered could contribute to the solution. And with that, I'll hand it over to Julie.
Julie Rubinstein: Thanks, Chad, and thanks to all of you for joining us today. I want to echo Chad's thanks to our incredible employees. It has been another busy and successful quarter during an uncertain time. Turning to Slide 7, I'm going to start with our life science research business. Our research business, although the most severely impacted by COVID-19 last quarter, has experienced some encouraging uptake during the third quarter. In addition, as we continue to execute on our pipeline for future revenue year-to-date bookings have more than doubled from this time last year. That said sample arrivals continue to vary month by month and recovery is at a slower pace than our clinical business. Additionally, we are still seeing delays or cancellations of clinical trials and other disruptions impacting predictability in the business. We are tracking this trajectory closely in light of rising cases in recent weeks. This quarter, we have made great progress driving adoption of our upgraded immunoSEQ RUO KIT. We have signed 24 new Core Lab partnerships with well-respected labs at institutions such as MD Anderson, Fred Hutchinson Cancer Research Center, and the University of Pittsburgh among others. These Core Labs will purchase our kits and offer immune sequencing to their internal network of researchers in their institutions enabling academic core labs as centers of excellence with our gold standard immunoSEQ RUO KIT is expected to set the foundation for long-term growth going forward. We have also made significant progress with immunoSEQ T-MAP COVID. We launched this product extension in August for vaccine developers to accurately and reproducibly measure the T-cell immune response to vaccines and track the persistence of that response over time. We hope to be able to answer many outstanding questions about durability and safety and potential differences in efficacy, across patient subgroups. Our T-MAP product offers significant advantages over other technologies to detect and monitor T-cells at scale using a small amounts of blood without the need for live cells that require a special sample handling. Measuring the T-cell response in a vaccine trial is also important when disease severity is a clinical endpoint. Another finding from the work with the University of Padua showed that the T-cell response is directly correlated with increasing severity of disease while antibody levels show no correlation to disease severity. This is another reason why incorporating a well-validated, scalable, sensitive and specific T-cell assay like immunoSEQ T-MAP COVID should be incorporated into the development and evaluation of these vaccines. To date we are sequencing a subset of patient samples from trials sponsored by two top tier vaccine developers. From this work, our goal is to understand the difference in the T-cell response between vaccinated individuals, who do and do not get infected with the virus. This has the potential to lead to a novel correlate of protection that may accelerate the understanding of vaccine efficacy and duration of response in the broader population. In addition, we are also in late stage discussions with several companies developing next generation vaccine. In our MRD pharma research business, we announced today a collaboration with Glaxo to assess MRD in Glaxo's portfolio of hematology products, our second portfolio-wide deal. We are very pleased to work with Glaxo and look forward to generating data supporting the clinical value of monitoring MRD in the context of patient care. This deal continues to grow the total value of the clonoSEQ brand to Adaptive combining clinical testing with sequencing revenue and potential future milestones from our pharmaceutical partners. Switching to our clinical diagnostic business with clonoSEQ on Slide 8, clonoSEQ Q3 sequencing volumes grew 58% versus prior year and 28% versus the prior quarter. ClonoSEQ has now used in all 30 NCCN cancer centers and has been used to treat more than 14,000 unique patients to date. Over 685 new healthcare providers or HCPs were activated to order clonoSEQ year-to-date and new ordering HCPs have contributed 16% of order volumes so far this year. We have observed a healthy recovery in the business since the peak impact of COVID-19 and we expect growth to continue unless COVID leads to a systemic drop in cancer testing. We believe that clonoSEQ future is bright. As you know, we received FDA clearance in CLL in August and launched significant corresponding commercial efforts including a new patient campaign. Early launch indicators are trending positively. In the 12 weeks since clearance, albeit starting from a small base, the total number of accounts ordering clonoSEQ for CLL patients has increased by over 60% adding 22 new ordering accounts. To date, we are also seeing around 60% of CLL, MRD tests being performed in the blood and importantly, we have achieved good initial traction within the community oncology setting where most CLL patients are treated. We remain bullish about 2021 being an inflection year for the clonoSEQ business, as we continue to build traction in CLL, while also deepening penetration in our previously cleared indications of multiple myeloma and ALL. We will continue to expand into blood testing in ALL multiple myeloma and NHL. Blood-based MRD testing has the potential to increase the number of tests run per patient over time. For blood-based testing in ALL, we have completed the clinical validation work required by the FDA and we plan to submit this data to the agency around year-end. In the interim we are increasing marketing support for clonoSEQ usage as a CLIA-validated lab developed testing service, where samples for any lymphoid cancer indication and a range of sample types, including blood is acceptable, and payer coverage is already in place for blood-based testing in ALL and myeloma. Going forward, we will continue to evaluate the optimal commercial path, FDA or CLIA for each additional indication. Turning to Slide 9; first, as you heard we have a new brand name for our T-cell based diagnostic, immunoSEQ Dx now called T-Detect. For T-Detect COVID, our data demonstrates that T-cell based testing outperforms serology to confirm past infections in a real-world setting. These data combined with other data showing that T-cells are detectable earlier than antibodies show up in all people infected with the virus and persist longer than antibodies continue to build the case for measuring the T-cell response to inform our understanding of immunity. Based on these results and conversations with the FDA, we will bring the product to market after Thanksgiving followed by our FDA submission prior to the end of the year. Our go-to-market approach is a soft launch that will focus on targeting people who wants to know for certain, if they had COVID-19 including self pay consumers, employers, concierge medicine, and public health agencies. Our market research shows that there are many people who could not access testing earlier this spring and are still curious about a previous infection, particularly those who are skeptical about their antibody test results. This is even more pronounced in those that may have been exposed to asymptomatic or had a mild infection. Additionally, our research indicates a high interest among consumers and understanding immunity to COVID-19. Therefore our go-to-market strategy will benefit public health because it will also include the ability to contribute to on market research, to quantitatively assess the duration of immunity as defined by the persistence of SARS-CoV-2 specific T-Cells. All of this is a stepping stone to the longer-term vision for T-Detect where blood sample will be able to give you multiple answers about what your immune system has seen or is currently fighting. And that will likely have to include COVID due to the wide range of long-term symptoms it causes. I want to reiterate that our work building the commercial and operational infrastructure needed to deliver T-Detect COVID will be critical as we move T-Detect forward in all indications. These efforts will set the base of our near-term commercial focus in infectious diseases, including COVID-19 and Lyme disease and a medium term expansion into auto-immune disorders. Moving on to Slide 10. For T-Detect Lyme, as you know, we launched the immune sense study over the summer with the goal to enroll 990 participants. Based on current enrollment rates, and even though Lyme visits and diagnoses are down approximately 60% due to COVID. We expect to have around 800 participants of the 990, by the end of the year. We plan to continue to enroll the remaining needed patients and expect to file with FDA once the study is completed, which is now expected by end of 2021. However, given that we are building the infrastructure for T-Detect COVID and based on our robust previous case control data, we are exploring commercial acceleration of T-Detect Lyme as a CLIA service offering in 2021. Results from our case control dataset to be published with Johns Hopkins demonstrates a doubling of sensitivity of our tests compared to standard two tier serology tests in acute patients. We have also seen that our tests can confirm an ongoing infection in patients who were treated with standard two to three weeks of doxycycline, but still have lingering symptoms. In terms of other T-Detect indications in the pipeline today, we are also pleased to announce the confirmation of our third clinical signal in Crohn's disease. Crohn's is a GI disorder that is often confused with other conditions with similar symptom presentation, and there's a significant unmet need for a highly specific and sensitive noninvasive tests. Data will be shared in a scientific forum next year. Other indications, such as celiac, ovarian cancer and other auto-immune disorders continue under development within our R&D funnel. And we will update you on future progress as they advance. Now turning to our drug discovery business on Slide 11. On the TCR discovery front, Genentech remains on track for an IND submission in Q1 2021 for our first shared products. We continue to screen and characterize TCR against clinically relevant targets in solid tumors and we are in late stage characterization of several promising TCRs that could be considered by Genentech for the development of a second shared product. On the personalized approach, we are scaling our R&D efforts to inform our private product strategy with Genentech. We started screening blood from cancer patients to identify TCRs specific to a patient's tumor mutations. And our goal is to generate proof of concept data by Q1 2021. To support our near-term and long-term objectives for our private products, we plan to open our dedicated prototype lab in South San Francisco in Q1 2021, which will have capacity to perform first-in-human clinical trials. For our neutralizing antibody efforts as you heard from Chad, we identified two highly potent neutralizing antibodies against SARS-CoV-2. In terms of the path forward, we have delivered a robust data package to Amgen for them to decide if they want to exercise their right of first negotiation and we believe our candidates can be part of the treatment paradigm for COVID-19. I’ll now pass it over to Chad C who will provide you with the financial update.
Chad Cohen: Thanks, Julie. Turning to our financial results on Slide 12, total revenue in the third quarter was $26.3 million representing a 1% increase from $26.1 million in the same period last year and a 25% increase quarter-over-quarter. Our revenue mix for the third quarter consisted of 43% of our revenues coming from our sequencing category and 57% coming in from our development category sequencing revenue in the third quarter was $11.3 million representing a 3% decrease from the same period in 2019, but a 41% increase quarter-over-quarter. This year-over-year decrease was primarily driven by a $1.9 million drop in revenue generated from our biopharma partners partially offset by a $1.4 million increase in revenue generated by our clinical customers. Clinical sequencing volume increased 58% in the third quarter 2020 to 4,023 clinical tests versus last year, as we saw cancer centers continue to open up and patients returned to regularly scheduled MRD diagnostic testing. Testing volume increases in Q3 reflect a normalization of volume growth after a Q2 slowdown impacted by COVID research. The sequencing volume, which includes sequences reported to both our biopharma and academic partners decreased by 38% to 6,541 sequences from 10,618 sequences in the third quarter 2019. The decrease primarily reflects the ongoing challenges we recognize as many of our biopharma and academic customer centers remain operating at a lower capacity or in some cases shut down due to COVID. In terms of our expectations for the balance of the year, we expect our research business volume to grow at a modest pace due to the headwinds discussed above. And on our clonoSEQ diagnostic business our expectations are for continued growth versus the third quarter on an assumption of more normalized testing patterns for MRD. Development revenue in the third quarter grew to $15 million, up 5% from the same period last year. This quarter development revenues includes a $2.5 million milestone related to an FDA regulatory approval in which our data was used as a secondary end-point by one of our MRD pharma partners. As part of our strategy, we continue to execute on new collaborations with pharma partners, where clonoSEQ is used in trials with MRD as a clinical endpoint. These collaborations represent over $300 million in future milestone payments that we can potentially participate in, although we do not anticipate any additional milestones for the remainder of the year. We expect development revenues from our Genentech collaboration to continue to grow in the mid-single digit percent range quarter-over-quarter. Shifting now from our revenue to our operating costs, total operating expenses for the third quarter of 2020 were $63.3 million representing a 44% increase from $44.1 million in the same quarter last year. Working down our operating expenses, cost of revenue was $6.1 million during the third quarter 2020, compared to $5.6 million for the third quarter last year, representing an approximate 8% increase. This increase was driven by investing in higher overall production capacity, which was largely offset by allocating more of that capacity to R&D volume growth in the period. Research and development expenses for the third quarter of 2020 were $30.3 million compared to $20.5 million in the third quarter of 2019, representing a 48% increase. The increase was a result of higher levels of spend across initiatives as we continue to accelerate our investment in our antigen map and TCR and antibody discovery efforts. Additionally, we began ramping program specific spend around our T-Detect diagnostic initiatives during the quarter. Sales and marketing expenses for the third quarter of 2020 we're $14.5 million compared to $9.1 million in the third quarter of 2019, representing an increase of 59%. The increase was primarily driven by hiring activity and marketing investments to support existing and emerging clonoSEQ indications as well as continued investment in shared corporate marketing initiatives. These increases were partially offset by savings related to in-person customer events as we continue to implement virtual programs during the quarter. General and administrative expenses for the third quarter of 2020 were $12.1 million as compared to $8.5 million in the third quarter of 2019, representing an increase of 42%. The increase was driven primarily by increased head count and personnel costs as well as an increase in legal accounting and tax professional fees. Net loss for the third quarter 2020 was $36.7 million compared to third quarter 2019 net loss of $14 million. Adjusted EBITDA for the third quarter of 2020 was a loss of $28.4 million compared to a loss of $12.7 million in the same period of the prior year. As uncertainties related to COVID remain, guidance will remain withdrawn. Overall, we had a solid financial quarter, which puts us back on our growth curve. Our balance sheet remains robust as of quarter-end with approximately $852 million in cash and securities and we had no debt. We are well-resourced to tackle our future opportunities. With that, I'd like to turn the call back to Chad for his closing remarks.
Chad Robins: Thanks, Chad. At Adaptive, you have many exciting upcoming milestones in the next 12 to 18 months on the commercial and development fronts across all areas of the business listed on Slide 13. We are more confident than ever in our value proposition as we continue to deliver on our promises and demonstrate the capabilities of our platform. With that, I'd like to turn the call back over to the operator and then open up for questions. Thank you.
Operator: [Operator Instructions] Your first question is from Tycho Peterson of J.P. Morgan. Your line is open.
Tycho Peterson: Hi, good afternoon. I'll start with Amgen now that you've handed over the antibodies, just latest thinking on timelines for them any chance of finding other candidates to pass along. And then I guess most importantly given what we saw from Pfizer yesterday with a 90% efficacy on the vaccine, does that change your view on the monoclonal antibody opportunity at all around COVID?
Chad Robins: Yes. Hi, Tycho. Let me start with the final question. And I'll reiterate something I said in the speech is that, first of all, like everyone we're thrilled that there's a vaccine that has potential to have a widespread efficacy. That being said we think COVID is endemic in the population and that people are going to get sick for a long time to come unfortunately. Therefore having therapeutic solutions is going to be part of the patient treatment paradigm and we do feel that that kind of first wave of therapeutics while showing limited efficacy have a pretty significant room for improvement. And therefore kind of standing up a platform and delivering antibodies with superior performance characteristics, which we believe have superior performance characteristics, we think are going to have hopefully a place to kind of be part of the solution. That being said, so we handed over our data packages to Amgen. And to the question of whether we have additional antibodies, we do. We're continuing to kind of characterize and synthesize and put them together to see the synergy between – to be between the antibodies. And we're going to hear back from them relatively soon. Obviously a lot of factors from their perspective go into making this decision as well, which are beyond our control and we'll see where we land. But as you know, we also have many pharma partners out there and we'll be talking to them as well if Amgen elects not to move forward.
Tycho Peterson: Okay. And then on the antigen map, a couple of moving pieces here, live the time lines are kind of pushed out relative to, I think, what you'd said last quarter with a year-end filing last quarter. So can you maybe talk to the delay there? And then I didn't hear any much celiac, has that kind of dropped off on the priority list?
Julie Rubinstein: Sure. This is Julie. Hi, Tycho. Just to clarify in case there was confusion the Lyme disease is moving forward. We had always anticipated launching Lyme at the end of 2021. We in fact anticipate launching Lyme a little bit earlier than that because we will bring it up in a CLIA environment and we'll prepare the FDA filing towards the end of next year. So the commercial implications and the commercial launch of Lyme disease is in fact a bit earlier than initially planned. Celiac is still in what we call stage four of our five stage R&D pipeline. We have an early signal there. We continue to study it further. The signal in Crohn's disease is particularly strong and something that we're really excited about, but we continue to assess celiac and lots of other disease states as well. I would say that we learned a lot from the speed with which we characterize the T-cell response to COVID-19 this year. And that's actually helping to expedite the R&D pipeline for many other disease settings. And we expect to announce clinical signals at a faster clip over the coming quarters.
Tycho Peterson: Okay. And then just one last one before I hop off, the UK vaccine task force had a T-cell tender. Are you able to talk about that process I think Oxford, but are you able to talk about how that played out in your-end?
Julie Rubinstein: I have not – we did not participate. I am sorry. Chad?
Chad Robins: I can tell you we're in conversations with Oxford, but we can't comment on the process.
Tycho Peterson: Okay. Fair enough. Thanks.
Operator: Your next question is from Derik de Bruin of Bank of America. Your line is now open.
Derik de Bruin: Hi, good afternoon.
Chad Robins: Good afternoon.
Derik de Bruin: Hi. Could you talk a little bit, I mean, how do you see the T-Detect COVID rolling out in 2021 as more people get vaccinated? And I guess, do you see more people getting tested to see if they have a memory T-cell response on this. I'm just sort of curious in terms of like how do you ultimately see this getting carried out.
Julie Rubinstein: Sure. So we see this rolling out in phases over time. We're essentially starting with an indication to confirm past infection. And we believe there's actually quite an appetite for among people knowing whether they had COVID-19 and also participating in non-market research to contribute to really understanding immunity through the T-cells and that is really guided by the T-cells. We think that over time, the question about immunity from both a natural infection from the virus as well as vaccines is going to be – continue to be important over time, particularly the duration of immunity even in a world where some people are vaccinated and some people aren't and people are still getting infected and we haven't been able to fully contain the disease. We do believe that really understanding where you stand remains important. And it's also important for employers and public health surveillance organizations who are responsible for understanding the status of the organizations they're responsible for. In the long-term, what we're really seeing is that there's actually so much sequelae from COVID that can last quite a long time and a large percentage of people who get COVID are in fact asymptomatic and never knew they had it, but yet months later or perhaps over the next couple of years, we'll have lots and lots of people, hundreds of thousands of people with ongoing symptoms. And when they go to the doctor, one of the first questions that I think they'll be asked, or one of the first things we're going to have to find out is if you've had a COVID infection given this range of long-term symptoms. So we do see an evolving value proposition over time again starting with past infection, confirming past infections, participating in non-market research, understanding immunity and how understanding the duration of that immunity exists in a changing world, that's getting ever more complex with vaccines. And then over time, I think, it's just going to become part of life. And when T-Detect down the road is able from the simple blood test to tell you everything that your immune system has seen or is currently seeing, it will include COVID.
Derik de Bruin: Great. That was a good answer. And I have just two quick follow-ups. I guess, how do you think about your commercial launch? And how do you expect to commercialize this and I think the Lyme test in the CLIA setting. I mean that you don't have a sales force per se for the infectious disease. And how many of your – and what's the opening percentage of your academic customer labs, just sort of any sense on the academic environment and where that sits?
Julie Rubinstein: Sure. So, I'll answer the Lyme disease first. So similar to COVID, these are going to be very targeted launches. For COVID, it's largely digital marketing. For Lyme disease, we will be bringing on a sales force and also looking to partner for additional outreach as we move into the primary care setting absolutely. I think your second question was about the academic research business.
Derik de Bruin: Yes, the academic research business. Just how many – your percentage of labs that are still or partially open versus the end of the last quarter? Yes.
Julie Rubinstein: Sure, sure, sure. We are seeing more labs opening there. We think the estimate we're working with and from research we're seeing in from our own experience about 70% of labs are open, but they're not fully staffed. So, there's a big – there's still a lot of change going on, but we do see more labs opening and we are getting more traction in that setting.
Derik de Bruin: Great, thanks.
Operator: Your next question is from Tejas Savant of Morgan Stanley. Your line is now open.
Unidentified Analyst: Hi, this is [indiscernible] on the call for Tejas. Thanks for taking our questions. Could you just elaborate on the pricing strategy for Lyme going this off pay concierge service route? Would it be discounted versus the earlier ASPs you had talked about in the past?
Julie Rubinstein: Sure…
Chad Robins: I just want to clarify the question.
Julie Rubinstein: I think it's mixed two things. So the concierge medicine sort of target is really for COVID as part of our soft launch strategy as one group that we believe would be interested in offering T-Detect COVID to their patients. For Lyme, it's a pricing strategy that is separate from concierge medicine, just wanted to clarify that. In the initial research, we had done – we were hovering around a price range of $600 to $800 per Lyme test. We've done some further research that's showing us that it will likely be in the lower end of that range. And we're going to be entering into one more round of pricing research as we get closer to our CLIA launch towards later this year and we'll finalize the pricing at that time.
Unidentified Analyst: Got it. Thank you. And I have a follow-up, could you provide your current thinking on the OUS strategy for clonoSEQ? How does the IVDR process in Europe impacts you're thinking there?
Julie Rubinstein: Sure. So, absolutely. Our international strategy is evolving quite nicely. We started with a strategy of tech transferring the assay to select sites in select markets to begin generating data, which is a very important process of expansion internationally. By the end of this year, we'll have seven of those international tech transfers with our CE mark product. We are closely monitoring all of the IVDR compliance regulations and incorporating them into that product as we continue to advance those tech transfers.
Unidentified Analyst: Thank you.
Operator: Your next question is from Doug Schenkel of Cowen. Your line is now open.
Doug Schenkel: Hi, good afternoon. Thank you for taking my questions. Just starting on your commentary on clinical trial cancellations, I think you have that in your prepared remarks, Julie. Just curious has this improved relative to last quarter. And are there specific indications where cancellations are more or less common?
Julie Rubinstein: That's an interesting question. So it's pretty much the same. I think if anything – there's studies here and there that are getting canceled, what we're seeing more often is that timing of sample collection and shipment is unpredictable. And it doesn't really seem to be more or less in any disease states.
Doug Schenkel: Okay. And then another follow-up on commentary from your prepared remarks, I believe both in your commentary as well as in the really well put together slides. You commented on community hospital adoption. I'm wondering if that's driven by more commercial detailing and then kind of on the flipside your higher volume legacy accounts, have they resumed ordering at pre-pandemic levels?
Chad Robins: The legacy accounts – hi, Doug. It’s Chad. The legacy accounts, some of them still are not back online, some of are kind of largest historical ordering accounts. We still have some that aren't back. However, the ones that are back are ordering, but I wouldn't say they're yet at pre-pandemic levels. As far as kind of the community, I do think the commercial detailing is contributing. It's still small, but good – but we've got a nice growth curve from the community based on the work that we've done in putting reps out in the community in the hospital setting.
Doug Schenkel: Okay, super helpful. And one last one as was noted in the press release and earlier in this call, you guys are really well capitalized while operating spend increased Q3 to Q4. You still came in a smidge light of what we were forecasting. Now that could just be a function of our model, but I think the bigger higher level question is, are you holding back on growth investment at this point given uncertainties in the existing environment, or at this point are you now fully playing offense when it comes to R&D investment as well as commercial build-out?
Chad Robins: Yes, so, Doug, we're fully playing – we're looking for ways to fully play offense, I should say in the sense that the T-Detect is a great proof-of-concept for the broader strategy that a single blood test can detect many diseases at the same time. And we're looking to accelerate spending to be able to prove out that concept and then commercialize kind of a broader base blood test to detect many diseases at the same time. Additionally, having stood up the – an antibody discovery platform, which is another extension of the immune medicine platform to discover kind of therapeutic opportunities. We are also kind of – we have a search and evaluation team and are assessing ways that we can continue exploring opportunities in the therapeutic space.
Chad Cohen: And just to add-on on top of that in terms of pressing our advantage, I mean, we did expand our operating expense line by about $5.5 million quarter-over-quarter from Q2 to Q3, up 44% year-over-year. You're going to see that re-reaccelerate in the fourth quarter, turning up closer to 50% year-over-year in terms of OpEx spend next quarter.
Doug Schenkel: Okay. Super helpful. Thanks. Thanks team.
Chad Robins: Thanks, Doug.
Operator: Your next question is from Salveen Richter of Goldman Sachs. Your line is now open.
Salveen Richter: Good afternoon. Given the Glaxo announcement, can you just comment on your BD strategy and the forward with regard to clonoSEQ and potentially other programs as well?
Chad Robins: Sure.
Julie Rubinstein: Sure. So the Glaxo announcement is much like many of the previous MRD deals that we've signed with various pharma partners. And it remains an important part of our strategy for clonoSEQ. It's a big part of demonstrating clinical utility for the product. And so Glaxo is another one of those deals, although it is the second that we signed that pan portfolio. So some of the previous deals are specific to one asset, one compound, one drug for a pharma company. In this particular case, it's multiple drugs in development across the disease states. Moving forward, right now, most of our – the rest of our pharma work has been on the immunoSEQ side, but moving forward, we do see opportunities to move into diagnostic partnerships with pharma for T-Detect in the future, much like we've done for MRD to date.
Salveen Richter: And then with regard to T-Detect for COVID-19, what's the earliest that you would expect an FDA clearance or EUA? And then secondly, on the antibody here, could you just comment on the cocktail approach and the work maybe you've done there and you've mentioned superior performance characteristics. So how you think this is stacking up versus the antibody data that we've seen to date?
Chad Robins: Sure. Hi, Salveen. I'll take the first question. We intend to file the EUA by the end of the year depending on FDA's kind of turnaround time. We could expect to have that. It's hard to predict when we could expect to have that, but I can say the engagement level has been extremely high and we've been – as we've gotten information continue to pass it along. So, hopefully, sooner rather than later, but that's FDA dependent. In relation to the synergistic capabilities of the antibodies, I'll turn it over to Harlan to answer that question.
Harlan Robins: Yes. So each of our antibodies separately in live virus neutralization has, as we said, where they were at 16 picomolar IC50 and 13 picomolar IC50, so just to put that in context each individually is significantly – neutralizes live virus at a significant lower concentration than anybody else's cocktail on clinical trials right now, but that's at least that we're aware of. But we know through what's called the pseudovirus neutralization assay that when we put the two – our two lead candidates together that we're getting another significant bump in fact somewhere between a third of the – approximately a third of the concentration of each individuals, when they're together will neutralize the live virus. So we expect, sorry the pseudovirus, so when we get the live virus version, we expect the cocktail to have a significant boost in performance over the individual's.
Salveen Richter: Very good. Thanks.
Operator: Your next question is from Brian Weinstein of William Blair. Your line is open.
Brian Weinstein: Hey guys. Good afternoon. Thanks for taking the questions.
Chad Robins: Hey, Brian.
Brian Weinstein: Hey. So starting out on the T-MAP COVID product here, you guys have obviously said you expected some revenue in 2020, and you've now said that you have some vaccine manufacturers on Board. Can you just give us some idea on what we're talking about as far as what that revenue could be this year, and then what the model still is? Is it still sort of that flat fee plus the tech access fee that that you guys were talking about before? Is there any change that kind of how all that played out with actually signing these deals?
Julie Rubinstein: Sure. Thanks, Brian. So for the first couple of deals that we signed, some of that revenue albeit small will come in this year, it's a subset of patients from these ongoing trials. It is still – we're still tracking with the same model with a fee for service per sample price, plus the tech access fee for the antigen mappings. Although for some of the larger negotiations that we're in the middle of, they'll be a bit more bespoke given that there's tens of thousands of potential patients to be sequenced. But that is still the general approach absolutely.
Brian Weinstein: And the idea between the subset of patients in these trials versus having this being used on all patients in the trial, what's the thought there and how does that expand over time?
Julie Rubinstein: So I think what's really important there is – there's a very critical set of samples that are necessary to understand the T-cell response and that is the set of patients who've been vaccinated who do, and then do not get the virus and to compare that difference between those, those, those populations of people. In addition to obviously those who didn't get vaccinated at all, and so we have these really nice subset, very well-characterized well group's studies underway where we're going to get to understand the differences between those populations and that is what's going to give us a really good signal to take into the larger studies and into new studies and next generation vaccine studies, where we have a potential correlate of protection that is very quantitative defined by the T-cells that map the SARS-CoV-2.
Brian Weinstein: Got it. Thank you. And then on T-Detect COVID, the 97% versus the 77% for serology; what was the serology test that was used as the comparitor there?
Chad Robins: Harlan, do you want to take that?
Harlan Robins: Yes. So we're – we'll have to get back to you on that, because it’s part of a bigger publication with our collaborators, but it's a EUA approved serology test and will also supplement that with additional serology tests from other manufacturers. So that's why we're not releasing it. It's going to be more than just one.
Brian Weinstein: Okay. Great. And then last one for me on the Crohn's product. Maybe I didn't hear you say it. But you said you have a strong signal here. Can you just give us some idea what that means relative's kind of – what you've seen previously in terms of signal at this point for other applications. And then did you say what the next steps were and when we would actually see data on that?
Chad Robins: Yes. Thanks, Brian. So we – the reason we're particularly excited about Crohn's is that with a relatively small study subset about 350 people, we're seeing a signal in sort of the same caliber as we were in the COVID case with that number of people to develop a signal, really, really high specificity. We're highly, highly convinced the T-cells that we've identified – T-cell receptors are specific to, just to Crohn's and therefore there's still a subset of patients that were – we need to expand to pickup all Crohn's patients, but we're, I would say that we're feeling as confident as we were at the same state as we were with COVID where we're now almost well in the upper nineties in sensitivity. But since we only have 350 patients so far, and there's a bunch of – a bunch of broader questions we need to ask, we need to collect much larger cohorts. And so we're in the process of doing that. We expect some of the bigger cohorts to come in the first quarter. And then we'll be publishing the results as – after we analyze and write-up the larger data set. So sometimes – and then publication always takes a little bit of time. Unlike the COVID world where you everything was done immediately and normal publication space, you have to actually go through a peer review before you publish. So it'll be a little bit of a delay on that relative, but it should be next year, for sure.
Brian Weinstein: Totally understand. Okay, guys, thanks so much for taking the questions.
Chad Robins: Thanks, Brian.
Operator: Your next question is from David Westenberg of Guggenheim Securities. Your line is open.
David Westenberg: Hi. Thanks for taking the question. So does the Crohn's disease kind of mean that we're going to be looking at a GI panel in kind of the near future? And on the Crohn's disease, that seemed to come a lot faster than my expectations, at least, when you're finding these diseases, is there a serendipitous effect? Or is it really honed in on the beginning and on one hand, it's great, if you can just point and shoot, but I'd also think that maybe if there is some serendipity, you can come up with new stuff pretty quickly?
Chad Robins: Yes. Let me answer the first question, David, and then I will I'll pass it to Harlan to answer the questions regarding signal generation. But in terms of, let me kind of reorient you to the strategy, which is first to go kind of disease-by-disease and single disease diagnoses. And the second part of the strategy is to go get a differential diagnosis for a patient that comes in with the same set of symptoms and for us to be able to definitively tell that patient and doctor through a rule in test, what they have. And then the third part of the strategy is to have, which is really what we're kind of focusing on in terms of the longer longer-term vision of a single blood test that can diagnose many diseases at the same time. So, as we kind of mentioned with celiac, Crohn's, absolutely, Crohn's, we believe, would be part of at least medium term as part of a GI panel where a patient would come in with a gastrointestinal symptoms, and we'd be able to tell them whether they have Crohn's or ulcerative colitis et cetera. So it's actually kind of where we are tracking. We understand this has been tried in the past, but with the sensitivity and specificity of T-cells, we believe that we can distinguish. Now Harlan, I'm going to pass you to discuss signal generation. 
Harlan Robins: Yes. So we have a team that is – so we separated the world into infectious disease, cancer and auto-immune, and then we've added some other diseases that we didn't – I don't think inherently thought were immune mediated, but have now come to look like immune mediated. And then we went through and I would say, we've created a ranking system for all the autoimmune diseases. And for the ones in terms of unmet need, what we thought we know about the disease in terms of the immune response, how we would interact with pharma, all sorts of parameters. And then of course the size of the opportunity, and we've then – we have a team that goes out and searches for well-characterized data sample sets that from different repositories where we can start doing signal generation with already collected samples. This is, I think the big advantage of moving cellular immunology to a molecular assay as we can use samples that are stored in someone's freezer. And Crohn's was definitely high-up on the list in the auto-immune category. There's a bunch of others and for all of them, we've – are in the process of collecting samples, or we already have collected samples under the process of analyzing. So we're trying to just tick them off in a pre-specified order, according to our ranking system.
David Westenberg: Great. Thank you. And then, I think this one's probably for Julie. An update on your thinking on T-cell therapies outside of oncology or partnerships in perhaps vaccines, any change of thinking there, maybe that's Chad, but I think it's Julie.
Julie Rubinstein: Well...
Chad Robins: I'll answer that. And we are evaluating extensions of the therapeutic, the drug discovery platform to other areas, T-cell therapy, for example, an auto-immune and vaccine. The vaccine opportunities, we're looking at that both from an M&A perspective in terms of both talent and technology, and we're looking at it from an internal perspective is an extension of our capabilities. So we've got search and evaluation team out there looking and – when the time is right, we will reveal more information.
David Westenberg: All right. Thank you very much.
Chad Robins: Yes. Thanks, David.
Operator: Your next question is from Mark Massaro of BTIG. Your line is open.
Mark Massaro: Hey guys. Thanks for taking the questions. I guess, Chad, first question for you. Can you just share a little bit of the logic behind rebranding immunoSEQ Dx to T-Detect? And then as a follow-up, in context of Illumina buying GRAIL and Exact buying Thrive, does that at all change how you guys think internally about potentially packaging, some of the single test indications in T-Detect for COVID Lyme and Crohn's and other indications in the future, and perhaps bundling them together as one multi-cancer panel?
Chad Robins: So let me answer the second question first. And so I think it's a really interesting question and I'm not sure it changes our thinking. But it's not multi-cancer panel, I would say multi-disease panel. But absolutely the goal is to have a multi disease panel, and we are looking at ways that we can accelerate that vision of one blood test being able to answer questions and diagnose multiple diseases kind of all at the same time. So yes, I would say, I wouldn't say necessarily that that changed our thinking, but that is our thinking. And then I'm sorry, Mark, I got – well the first question Julie, you can ask the first question.
Julie Rubinstein: T-Detect branding? Yes. I'll answer the T-Detect branding question. So when we initially started talking about the clinical pipeline immunoSEQ Dx, we thought it was really important to clearly communicate that the underlying chemistry for that future pipeline of diagnostics for multiple diseases, as Chad just described that it was really clear that, that was the same bread and butter immunoSEQ assay; the TCR beta sequencing assay, which is our absolute gold standard. Like as Harlan said, turning immunology into a molecular assay from blood, super scalable, we wanted to make sure that was really clear and that we were spitting out, the – all the T-cell receptors in a give him blood sample and then simply mapping those receptors to the antigens of disease that they see. And so that was the initial strategy, but of course, as a consumer test and as just a test with a brand that you can kind of get behind in a diagnostic setting, we thought that it was more important now moving forward to focus on the important role of the T-cells in particular and how the T-cell detects all diseases in the same way in the body. And so we hope that everybody understands that the underlying chemistry is the same as the immunoSEQ assay, but that going forward that, that sort of more attractive brand name of T-Detect really gives credence to what that test has the capability to do.
Mark Massaro: That's really helpful. Thank you. And then one of the other question is, is your clinical sequencing volume was quite strong, beat my estimate. Can you give us a sense for the number of repeat orders that were – that occurred in the quarter? And then can you comment to what extent the availability of blood testing is contributing to the top line?
Harlan Robins: You broke up there on your first question. In terms of blood testing, it still a pretty small component of our overall testing volume. I'd say it's significantly higher for indications like CLL, probably in the 60% range. And then almost rounding to zero with multiple myeloma, but representing a decent component of our ALL blood volume. But overall it's a pretty low sort of overall percentage of our volume. I'd say it's somewhere around 20% or so.
Chad Robins: And Julia, he asked about what the – how repeat testing is contributing to our – in clonoSEQ as opposed to new testing, I presume?
Julie Rubinstein: Yes. Sorry, I couldn't hear. Your connection was garbled. Sure. So we are still – we haven't reported out yet. We wanted to give ourselves a little more time to cover the full length of – the full treatment cycle, the sort of duration of a treatment cycle for any given patient with any given lymphoid malignancy before we start reporting out on regular number of tests per patient. But we're definitely seeing somewhere in the two to three range for tests for patients. And we'll continue to report out as that date matures. And in terms of I think I commented in my script, we have about 685 new ordering HCPs this year. And those new ordering HCPs are taking a shorter amount of time to begin taking up a greater percentage of the order volumes in a given period. So whereas in the last quarter, I think we mentioned it was about – 8% of order volumes were from new ordering HCPs, now we're up to 16%. So we're seeing a shorter times ordering after signup of new accounts or a new HCP. I'm not 100% sure of that's what you were getting at, but I tried to answer the question in sort of two different ways.
Mark Massaro: Yes, thank you. And then if I can, one final one, is there any – strategy to kitting with Illumina and when do you think clonoSEQ could be available though a kitted solution?
Julie Rubinstein: Sure. So we contractually have the ability to do that with Illumina as I think you know. We continue to evaluate whether or not that – whether or not to do so and what the timing would be of that process. And that is given – what you just said, which is a really nice uptake of our service offering as a send-out test. And so we continue to evaluate. We are continually making upgrades to the assay, which would port right into a kit anyway. So the timing wouldn't be affected. It's really more of a commercial strategy at this stage.
Mark Massaro: Okay. Thank you very much.
Operator: At this time, there are no further questions. And I would like to turn it back to presenters for any further comments.
Chad Robins: No further comments at this time. Thank you very much for joining today. I look forward to the fourth quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.